Operator: Hello, and welcome to the Robert Half Second Quarter 2021 Conference Call. Our hosts for today’s call are Mr. Keith Waddell, President and Chief Executive Officer of Robert Half, and Mr. Michael Buckley, Chief Financial Officer. Mr. Waddell, you may begin.
Keith Waddell: Hello, everyone. We appreciate your time today. Before we get started, I would like to remind you that the comments made on today’s call contain forward-looking statements, including predictions and estimates about our future performance. These statements represent our current judgment of what the future holds. However, they are subject to risks and uncertainties that could cause actual results to differ materially from the forward-looking statements. These risks and uncertainties are described in today’s press release and our most recent 10-K and 10-Q filed with the SEC. We assume no obligation to update the statements made on today’s call. During this presentation, we may mention some non-GAAP financial measures and reference these figures as, as adjusted. Reconciliations and further explanations of these measures are included in a supplemental schedule to our earnings press release. Our presentation of revenues and the related growth rates for Accountemps, OfficeTeam, Robert Half Technology and Robert Half Management Resources includes their intersegment revenues from services provided to Protiviti in connection with the company’s blended staffing and consulting solutions. This is how we measure and manage these divisions internally. The combined amount of divisional intersegment revenues with Protiviti is also separately disclosed. The supplemental schedules just mentioned also include a revenue schedule showing this information for 2019 through 2021. For your convenience, our prepared remarks for today’s call are available in the Investor Center of our website, roberthalf.com. We achieved record levels of revenues and earnings in the second quarter due to a broad-based, global acceleration in demand for our staffing and business consulting services. We were particularly pleased with the strength of our permanent placement and Protiviti operations, which grew year-over-year by 102% and 62%, respectively. Protiviti reached its 15th consecutive quarter of revenue gains with very strong growth in each of its solution areas. I am extremely proud of our staffing, Protiviti and corporate services professionals who are the key to our success. Companywide revenues were $1.581 billion in the second quarter of 2021, up 43% from last year’s second quarter on a reported basis, and up 40% on an as adjusted basis. Net income per share in the second quarter was $1.33, increasing 227% compared to $0.41 in the second quarter a year ago. Cash flow from operations during the quarter was $165 million. In June, we distributed a $0.38 per share cash dividend to our shareholders of record, for a total cash outlay of $42 million. We also acquired approximately 717,000 Robert Half shares during the quarter, for $63 million. We have 8.4 million shares available for repurchase under our Board-approved stock repurchase plan. Return on invested capital for the company was 49% in the second quarter. Now, I’ll turn the call over to our CFO, Mike Buckley.
Michael Buckley: Thank you, Keith, and hello, everyone. As Keith noted, global revenues were $1.581 billion in the second quarter. On an as adjusted basis, second quarter staffing revenues were up 33% year-over-year. U.S. staffing revenues were $855 million, up 34% from the prior year. Non-U.S. staffing revenues were $267 million, up 31% on a year-over-year basis as adjusted. We have 322 staffing locations worldwide, including 86 locations in 17 countries outside the United States. In the second quarter, there were 63.4 billing days, unchanged from the same quarter one year ago. The current third quarter has 64.4 billing days, compared to 64.3 billing days in the third quarter one year ago. Currency exchange rate movements during the second quarter had the effect of increasing reported year-over-year staffing revenues by $24 million. This impacted our year-over-year reported staffing revenue growth rate by 2.9 percentage points. Temporary and consultant bill rates for the quarter increased 3.7% compared to one year ago, adjusted for changes in the mix of revenues by line of business, currency and country. This rate for Q1 2021 was 3.4%. Now, let’s take a closer look at results for Protiviti. Global revenues in the second quarter were $459 million. $366 million of that is from business within the United States, and $93 million is from operations outside the United States. On an as adjusted basis, global second quarter Protiviti revenues were up 59% versus the year ago period, with U.S. Protiviti revenues up 63%. Non-U.S. revenues were up 43% on an as adjusted basis. Exchange rates had the effect of increasing year-over-year Protiviti revenues by $8 million and increasing its year-over-year reported growth rate by 2.8 percentage points. Protiviti and its independently owned Member Firms serve clients through a network of 86 locations in 28 countries. Moving on to SG&A presentation. We remind you that changes in the company’s deferred compensation obligations are classified as SG&A or, in the case of Protiviti, costs of services, with completely offsetting changes in the related trust investment assets classified separately below SG&A. Previously they were both classified as SG&A. Our historical discussion of consolidated operating income has been replaced with the non-GAAP measure of combined segment income. This is calculated as consolidated income before income taxes, adjusted for interest income and amortization of intangible assets. For your convenience, we’ve included a supplemental schedule to today’s earnings release on Page 7, highlighting the impact of changes in the deferred compensation accounts to the Summary of Operations for the second quarter of 2021 and 2020. This is a non-GAAP disclosure, so we also show a reconciliation to GAAP. Turning now to gross margin. In our temporary and consultant staffing operations, second quarter gross margin was 39.7% of applicable revenues, compared to 37.1% of applicable revenues in the second quarter one year ago. Our permanent placement revenues in the second quarter were 12.8% of consolidated staffing revenues, versus 8.6% of consolidated staffing revenues in the same quarter one year ago. When combined with temporary and consultant gross margin, overall staffing gross margin increased 490 basis points compared to the year-ago second quarter, to 47.4%. For Protiviti, gross margin was 29.1% of Protiviti revenues, compared to 23.4% of Protiviti revenues one year ago. Adjusted for the effect of deferred compensation expense related to changes in the underlying trust investment assets as previously mentioned, adjusted gross margin for Protiviti was 30% for the quarter just ended versus 25.7% one year ago. Transitioning to Selling, General and Administrative Costs, company SG&A costs were 30.9% of global revenues in the second quarter, compared to 36.7% in the same quarter one year ago. Changes in deferred compensation obligations related to increases in underlying trust investments had the impact of increasing SG&A as a percent of revenue by 1.5% in the current second quarter and increasing SG&A by 3.8% in the same quarter one year ago. When adjusted for these changes, companywide SG&A costs were 29.4% for the quarter just ended, compared to 32.9% one year ago. Staffing SG&A costs were 38.4% of staffing revenues in the second quarter, versus 44.2% in the second quarter of 2020. Included in staffing SG&A costs was deferred compensation expense related to increases in the underlying trust investment assets of 2.1% in the second quarter, compared to an expense of 5.1% related to increases in the underlying trust investment assets in the same quarter one year ago. When adjusted for these changes, staffing SG&A costs were 36.3% percent for the quarter just ended, compared to 39.1% one year ago. Second quarter SG&A costs for Protiviti were 12.5% of Protiviti revenues, compared to 15.1% of revenues in the year-ago period. Operating income for the quarter was $177 million. This includes $28 million of deferred compensation expense related to increases in the underlying trust investment assets. Combined segment income was therefore $205 million in the second quarter. Combined segment margin was 12.9%. Second quarter segment income from our staffing divisions was $125 million, with a segment margin of 11.1%. Segment income for Protiviti in the second quarter was $80 million, with a segment margin of 17.4%. Our second quarter tax rate was 27%, compared to 20% one year ago. The comparative rate in 2020 was lower than normal due to adjustments made to the estimates of the pandemic impact on the 2020 tax rate. At the end of the second quarter, accounts receivable were $908 million, and implied days sales outstanding or DSO was 51.6 days. Before we move to third quarter guidance, let’s review some of the monthly revenue trends we saw in the second quarter and so far in July, all adjusted for currency and billing days. Our temporary and consultant staffing divisions exited the second quarter with June revenues up 34% versus the prior year, compared to a 27% increase for the full quarter. Revenues for the first two weeks of July were up 35% compared to the same period one year ago. Permanent placement revenues in June were up 83% versus June of 2020. This compares to a 97% increase for the full quarter. For the first three weeks in July, permanent placement revenues were up 83% compared to the same period in 2020. We provide this information so that you have insight into some of the trends we saw during the second quarter and into July. As you know, these are very brief time periods of time. We caution against reading too much into them. With that in mind, we offer the following third quarter guidance. Revenue $1.61 billion to $1.69 billion. Income per share $1.35 to $1.45. The midpoint of our guidance implies new all-time high revenue and EPS levels for the Company. Midpoint revenues of $1.65 billion are 37% higher than 2020 and 5% higher than 2019 levels on an as adjusted basis. Midpoint EPS of $1.40 is 110% higher than 2020 and 39% higher than 2019. The major financial assumptions underlying the midpoint of these estimates are as follows; revenue growth on a year-over-year basis; staffing up 33% to 35%; Protiviti up 46% to 48%; overall up 36% to 38%. Gross margin percentage, temporary and consultant staffing, 39% to 40%. Protiviti, 29% to 31%. Overall, 41% to 43%. SG&A as percent of revenues, excluding deferred compensation investment impacts: staffing, 35% to 36%; Protiviti, 12% to 13%; overall, 29% to 30%. Segment income for staffing, 10% to 11%; Protiviti, 17% to 18%; overall, 12% to 13%. A tax rate up 26% to 27% and shares outstanding 111.5 million. 2021 capital expenditures and capitalized cloud computing costs, $65 to $75 million, with $15 million to $20 million incurred during the third quarter. We limit our guidance to one quarter. All estimates we provide on this call are subject to the risks mentioned in today’s press release and in our SEC filings. Now, I’ll turn the call back over to Keith.
Keith Waddell: Thank you, Mike. Our staffing results continue to reflect a faster pace of recovery than we’ve experienced in the past. Clients have lean staff levels as they begin to expand, which is exacerbated by generally higher levels of attrition. Also, as they look remotely to fill their needs, clients are elevating the experience requirements for their job openings, which further adds to the demand for our services. The recovery is also very broad-based and spans across industries, client size, skill levels, geographies, and lines of business. The National Federation of Independent Business, NFIB, recently reported that 56% of small businesses had few or no qualified applicants for open positions, and 46% had job openings that could not be filled. This speaks well of the ongoing demand environment. Protiviti’s multiyear record of consecutive growth continues to benefit from a highly diversified suite of solution offerings and client base. Blended solutions with staffing pair Protiviti’s world-class consulting talent with staffing’s deep operational resources to provide a cost-effective solution to clients’ skills and scalability needs. Protiviti has also benefited from project work in the public sector resulting from various federal and state stimulus programs. Approximately $100 million in revenue this quarter resulted from work related to these programs, or approximately $0.07 of our earnings per share. Growth in this public sector business contributed 32 points to Protiviti’s year-on-year growth rate of 62%, while the core business accelerated to a growth rate of 30%. Core growth was strong across internal audit, technology consulting, risk and compliance consulting, and business process improvement with internal audit showing the most acceleration. Public sector revenues represent 6% of total revenues and contributed 8 points to the Company’s overall 40% growth rate. A year ago, the world faced an uncertain future with extraordinary challenges ahead. Along the way we have continued to invest in our tenured, high performing workforce. We also strengthened our investments in advanced AI technologies, enabling our professionals to help clients with critical talent and consulting needs and find solutions across broad resource pools. As a result, we closed the quarter with an employee base that is more engaged and productive than ever, with all-time high revenues, and strong momentum leading into the second half. Bolstered by the strengths of our brands, our people, our technology and our professional business model, we are excited about the continued ability to find meaningful and exciting employment for the people we place and provide clients access to the specialized talent they need to grow and the deep subject matter expertise they need to confidently compete in a dynamic world. Finally, we’d like to thank our employees for making possible another significant recognition received this quarter, as Forbes named us America’s Best Professional Recruiting Firm. Now, Mike and I would be happy to answer your questions. Please ask just one question and a single follow-up, as needed. If there’s time, we’ll come back to you for additional questions.
Operator: [Operator Instructions] Your first question comes from the line of Mark Marcon with Robert W. Baird.
Mark Marcon: Good afternoon, Keith and Mike. Obviously, outstanding results. I’m wondering if you can talk a little bit about Protiviti. Specifically, you mentioned $100 million in revenue that came from the public sector programs, how sustainable do you think those programs are? How many kind of started up in the second quarter? What’s the pipeline look like? Or how should investors think about that portion? And then if we subtract out the $100 million from the intersegment revenues, it looks like you’re also growing your non-public managed solutions business. So can you talk a little bit about that and the traction you’re seeing there?
Keith Waddell: Sure. And so again, to size this, it was $100 million in revenues for the quarter. That’s only 6% of our overall revenues that added 8 points to our growth rate and it’s $0.07 a share. It was again led by unemployment and housing assistance. The good news is there’s still a backlog of demand. Many states have already extended us into Q3 and Q4. The tail is expected to last well into 2022. Our forecast is flat for Q3 sequentially and for a modest decline in Q4. So the pipeline for non-transactional RFPs increased eight-fold during the last 90 days, projects such as performance improvement, data analytics, controls, modernization. So we’re cautiously optimistic that our win rate will be good, but those opportunities given the strength of our new relationships. As you mentioned, not only did we grow the public sector portion of intersegment, but we also grew the balance of intersegment, which is managed business solutions, managed technology solutions between staffing and Protiviti. So that grew 49% year-on-year as well, that had nothing to do with public sector. So bottom line is the transactional work we were doing has a longer tail than most expect and will likely last well into 2022. We’re certainly ramping up our pipeline beyond that and stay tuned to see what our win rate is.
Mark Marcon: That’s great. And then related to that, can you just talk a little bit about who you’re winning from? I mean, when you mentioned that eight-fold increase, where were those – where would those opportunities have gone previously? How would you characterize the win rates? Like who are you winning from and how big is that potential TAM do you think based on that strength?
Keith Waddell: I’d say most of those competing with us for the non-transactional work are other consulting firms, including the Big Four, not other staffing firms. For the transactional work, clearly the other staffing firms are in some of the states as well. So it’s relatively new days for us with these public sector clients. As I’ve said before, we feel very good about the referrals we’re getting from the relationships we’ve already wean – we’ve already established and therefore only time will tell what our win rate will be, but we’re optimistic. And our win rate clearly rises when we have existing relationships.
Mark Marcon: That’s terrific. Thank you.
Operator: Your next question is from Jeff Silber with BMO Capital Markets.
Jeff Silber: Thanks so much. You’ve mentioned the temporary consulting billing rates. I was wondering if we could talk a little bit about wage rates and bill price spread. And are you doing anything different on the supply side to track or maybe there’s constraints different from prior quarters or prior years? Thanks.
Keith Waddell: So first of all, the wage rates are up a little less than the bill rates, and I gave you global rates. The U.S. rates are a little bit higher than the global rates. When we talk about candidate supply, it’s tightest at the staff or transactional level, but it’s manageable. We’ve successfully recruited in environments with much lower unemployment rates, while currently it’s 5.9% overall and 3.5% for college grads. Just in 2019, it was 3.5% overall and 1.9% for college grads. And frankly, if you adjusted the current rates for participation rates, that would be even higher. I’d say that remote candidates have meaningfully expanded the pool. Our technology, our footprint facilitate this. Further, we do expect some relief at the staff and transactional level as unemployment benefits decline, and childcare and schools reopen. We’re passing through the wage inflation that we’re having, and we’ve actually expanded our margin some. And clearly, candidates want more remote options and frankly want a premium if you want them to work onsite. But net-net, we think the supply is manageable. And we’re not only at the staff and transactional level, but we are mid and higher skilled as well. And it’s not near as tight there as it is at the staff and transactional level.
Jeff Silber: Okay. That’s really helpful. Shifting gears a bit and talking about your internal hiring. If I remember correctly, last quarter you said, I think you said you had enough capacity to last at least for the next couple of quarters. Given the strength that you saw last quarter, are you wrapping up your internal hiring?
Keith Waddell: And so we’re clearly ramping perm more quickly than temp or contract for obvious reasons. And so we’ll begin now to slowly add to our temp and contract internal staff, and we’ll get even more aggressive on the permanent placement side, given how successful it’s become.
Jeff Silber: Okay. Really helpful. Thanks so much, Keith.
Operator: Your next question is from Andrew Steinerman with JPMorgan.
Andrew Steinerman: Hi. Hi there, Keith. I don’t know if you’re going to say this is the same type of question, but I want to know if you feel like Robert Half right now is set up for multiple years of strong, flexible staff and growth. Usually there’s multiple years of strong growth when you add a new economic cycle. I definitely heard you say, I feel like supply is manageable. But my question really stems from you said, hey, we’ve really seen faster pickup of demand here than typical. So my question is when you see this faster demand than typical, do you feel like it might not be as long as you typically see.
Keith Waddell: Okay. So let’s first talk about how much faster so far. And so we measure four quarters past trough, and we compare that against the 2008-2009 and the 2000-2001 downturns. And so this time four quarters past trough on the temp or contract side, we’re up 38%, on the perm side, we’re up 96%. And that compares 2008-2009 temp or contract up 14%, perm up 33%. 2000-2001 temp or contract up 23% for four quarters and perm up 41%. So clearly, it’s just a fact that so far, we’ve recovered more quickly. Now further, if you look back to those same periods in time, for the 2008-2009 period, three years hints we had compound annual growth rates of 12% a year for a temp or contract and 24% a year for perm. And the 2000-2001 period was frankly double of that. And so history would say, and if anything, it’s repeating even better than historically, history would say that once we start recovering, we have a three- to five-year runway of outsized growth. And there’s nothing that would say otherwise as we sit here. In fact, I want to make another structural point, which I think is relevant to when we’re talking three to five years. We think this widespread adoption of remote work is a structural win for us. It’s more difficult for clients to recruit remotely, particularly our SMBs, which mostly have local footprints. Clients want more experience when they’re recruiting remotely because they want to minimize the training requirements from their new hires. We can deliver deeper skills, lower price points when we recruit outside local markets, particularly when we’re recruiting for clients in large metro areas. Our competitive position improves, particularly against our tougher, local and regional firms. We have a national candidate database with local candidate relationships because of our footprint. Our advanced AI matching algorithms provide real-time short lists, not only of local candidates, but national candidates for every single job order we get, we give our internal staff a national selection as well as local. Our algos are trained with profiles of our most successful candidates across millions of actual engagements. And furthermore, these multi-state candidate administrative requirements that come with remote work, we access through a mobile app, which is number one rated in the industry, 4.8 out of 5. And we just processed our 1 millionth time record through that app. And quite frankly, our competitors don’t have any of that. And then to add further, if you look at our SaaS-based internal infrastructure that allows our staff to work remotely, it improves their job satisfaction, their productivity, their income potential, and allows us to balance our workloads across a much broader geographic area. So I would argue that not only do we have the traditional opportunity as business conditions improve, there’s this structural shift to hybrid/remote gives us a lot of advantages we haven’t traditionally had.
Andrew Steinerman: Thank you. That was great. Appreciate the time.
Operator: Your next question comes from the line of Manav Patnaik with Barclays.
Manav Patnaik: Thank you. Keith, maybe just some comments around the margins and with this, I guess, faster than expected recovery, should we expect more leverage or kind of the same? Just any thoughts there would be appreciated?
Keith Waddell: Well, as we look forward, in margins, I’d say, first, let’s talk gross margins. On the one hand we’re at all-time highs. And by the way, our contract to higher conversions this quarter were 3.4% of revenues, so that was up. But as we look forward, we think there’s a upside with those conversions that have been as high as 4%, and that’s all operating margin as well as gross margin, but there’s also this mix shift to higher skill levels. And mix is our friend. We get higher gross margins as we move up the skill curve. They’ve been a big part of our margin expansion if you look back 10 years and our appetite to continue to move up that skill curve, if anything is greater, which is a great thing for our future gross margins. Further on the SG&A side, we have new opportunities to leverage. As I just talked about, as our people can fill jobs remotely, they all get more productive. We can leverage our technology spend, which has been significant. We can leverage our field infrastructure, which is now as only now returning back to 2019 levels. So we’re bullish as we move forward in time, we can further expand our operating margins for the reasons I just mentioned.
Manav Patnaik: And maybe specific to Protiviti, just to, how should we think of that given this massive growth helped by the government solutions, and as that comes down, like just the moving pieces there.
Keith Waddell: Well, because an ever-growing portion of Protiviti is this blended activity with staffing. We frankly think it’s best to look at our enterprise margins rather than staffing alone or Protiviti alone. And all the comments I just made apply to the enterprise.
Manav Patnaik: Okay. All right. Thank you, Keith.
Operator: Your next question comes from the line of Hamzah Mazari with Jefferies.
Ryan Gunning: Hey, this is actually Ryan Gunning filling in for Hamzah. You touched on it a little bit, but could you comment a little more on where you are in your technology journey, the use of AI to mass candidates and your digital footprint in general? And what’s behind you and what’s yet to come?
Keith Waddell: Well, we’ve had significant accomplishments of the last few years. A, we’ve got a SaaS-based salesforce.com front office infrastructure; B, we’ve adopted Workday, not only for our financials, but for payroll and HR, but financials as well. See as we’ve talked about AI before, we’ve spent significantly to create what we think is competitive advantage by having our matching engine trained based on the profiles of our most successful candidates based on actual work performance across millions of jobs. We’re further enhancing that by also trying to predict using data, using activity signals, likelihood to engage because predicting fit is important, but predicting fit and likelihood to engage is more than doubly important. So we’ll continue to invest there. Our mobile app, highly rated, very successful, talked about that. I’d say at 50,000 people we’ve long talked about this continuum of traditional staffing on the one side, talent platforms, self-service driven on the other with the latter given clients access to our technology, given access to our candidate database, which is second to none for professional level people. We’re still about building out that other side of that continuum. We’ve made significant progress. We hope in the next few quarters to have at least a minimum viable product ready to go to market there. But our vision is that clients not we should choose how much they want to interact digitally versus how much they want to interact traditionally. And quite frankly, our belief is that while many might first come to us thinking they want to do it digitally self-service, it will ultimately become lead gen as they find that they need more help closing candidates. And therefore, benefiting the traditional side simply by having the talent marketplace, the self-service solutions that would be principally digital, it would start as all digital. So we feel great about the technology initiatives, the technology spending, the impact that they’ve had. I can assure you; we’ve made tens of thousands of placements on a remote basis using this technology that we simply couldn’t have done five years ago. So we know it works. We know it’s effective. And we strongly believe we can make it even better.
Ryan Gunning: Great. Thank you. And then kind of switching over to the competitive landscape. Can you just talk about whether you see someone like LinkedIn being a competitive threat at some point in the future or whether you see it as more complimentary to the business?
Keith Waddell: Yes. I’d say whether it’s LinkedIn, whether it’s Indeed, whether its other job boards, we’ve often described them as frenemies. On the one hand, we use them all as part of our sourcing strategy. Although, I’ll tell you today, we source more candidates directly to our own website than all other digital sources combined. And that’s a major movement from what I would have said five years ago. So sure, we use LinkedIn. Sure, we use Indeed. Sure, we use some of the other boards. We believe the brand combined with an AI driven outreach program where we invite candidates to apply for all our open positioning drive a lot of traffic straight to us. The numbers speak for themselves as I just described. So LinkedIn – isn’t new LinkedIn doesn’t have new game changing tools. They’re one of many sources for us. But as I said, and as we’re very proud, the traffic coming directly to us has never been greater and is growing.
Ryan Gunning: Got it. Thanks.
Operator: Your next question is from Kevin McVeigh with Credit Suisse.
Kevin McVeigh: Great. Thank you. Hey, congratulations on the results. Keith or, Mike, the level of beats the last two quarters has been significantly upsized relative to even cash recovery, things like that. I mean, what’s been driving the incremental upside relative to the expectations you’ve been setting at the beginning of the quarter, because again, from leap year perspective, sizable beats. But if you think about that where the puts and takes been against the initial guidance you’ve been setting particularly against the last two quarters.
Keith Waddell: Well, I would say the strength of the recovery has been much greater than expected and much greater than traditionally, because not only do we get the lift we’ve traditionally gotten as our clients who are lean, get more transaction volume, start new projects and need our help. Incremental to that is this higher level of attrition or churn that increases demand. And further this appetite slash need for remote workers makes them less inclined to do it themselves and more inclined to use a third-party and why not America’s best professional recruiting firm. And so you’ve got that traditional tranche of lift. You get early cycle. That’s been added to by the higher attrition and the appetite for remote candidates. So it’s been a wonderful thing. And we think sustainable.
Kevin McVeigh: And then quick follow-up, Keith, the $100 million of government Protiviti, how much is that intersegment and revenue side as well?
Keith Waddell: I’d say it’s 95% in Protiviti, but remember now all of that’s not intersegment. The intersegment is the contractor participation on those engagements. There’s also Protiviti professionals participating on those engagements and there’s revenue there. So when we gave you a 100, we’ve been totally transparent. It’s everything.
Kevin McVeigh: Got it. And then just, if I could, one more, how much is in the Q3 guidance for government?
Keith Waddell: Q3 guide government is flat.
Kevin McVeigh: Thank you.
Keith Waddell: Sequentially flat.
Operator: Your next question is from Tobey Sommer with Truist Securities.
Tobey Sommer: Thanks. Could you dig into the factors driving perm is high with such high growth and such a high percent of sales versus temp and maybe specifically, the extent to which your clients looking nationally to recruit is a contributor.
Keith Waddell: Well, as I just said, as clients’ transaction volumes pick up, because they’re starting at a lean point, given what they’ve gone through as their transaction volumes pick up, they need people. As they start new projects or restart projects that they mothballed, they need new people. They also are having to deal with higher attrition. They need new people. Many times they have to look outside the current market or want to look outside the current market either A, for a better price point. So if you’re in a big city and you recruit outside of big city, there’s usually a cost arbitrage and benefit to the client. Or if you’re looking for really deep skills, you can’t find locally, you look outside for that. You’re more inclined to use a third-party for remote hiring than you are for a local market. So all of those things stack on top of each other, which provide for a wonderful environment for perm. And by the way, temp and contract benefit as well, because many times during the time, it takes to get a full-time person on board. It’s a perfect opportunity for temp and contract to sell. Hey, we’ll give you a person until you make that full time hire. And in fact, we’ll give you a person you may fall in love with, and you will want to hire them full time. So there’s a nice little network effect.
Tobey Sommer: Okay.
Keith Waddell: And it’s the strongest combination we’ve ever seen. And as I said earlier, we believe this long-term shift to hybrid slash remote structurally positions us better than we’ve ever been positioned vis-à-vis clients doing it themselves, or going to our local competitors they don’t have any of the capabilities or limited capabilities that I talked about earlier.
Tobey Sommer: Right. Thank you. With respect to bill rates and what this phenomenon means for them over the course of the cycle, how do you net out this potential labor arbitrage, which would be a decline in bill rate and/or comp whether you’re talking about perm or contract and the natural the sort of normal wage inflation and the news that we’re seeing with commodities in general inflation fears. How do you net that out when you look at the business over the medium-term?
Keith Waddell: Well, we’ve got a multi-decade history of passing on whatever the wage inflation is for whatever the reason is. And this business about labor arbitrage, driving the desire to go out of market. I don’t think our margins get squeezed because if anything, that, that arbitrage spread itself gives us an opportunity to participate in that. So I would argue there’s a new opportunity. There’s an incremental opportunity for us to expand our margins as we take a bit of that arbitrage margin.
Tobey Sommer: So I understand, but actually it’s the bill rate growth.
Keith Waddell: Well, bill rate growth, to the extent, it’s muted somewhat by the lower aggregate bill rate. I think you more than make that up by expanding the margin on the arbitrage. So I certainly don’t see it as a negative.
Tobey Sommer: Okay. So a big – a bigger margin driver and would you make a different kind of revenue. Okay. Thank you so much for your help.
Keith Waddell: Yes.
Operator: Your next question comes from Gary Bisbee with Bank of America.
Gary Bisbee: Hi, good afternoon. So interesting continued progress to this public sector work. I guess you’ve talked about the opportunity and pipelines, and obviously it’s just been terrific the last few quarters. As you think about that as a segment of work, you’ve not done a lot in the past. Are there any downsides to the public sector as a customer, whether that’s visibility, funding cycles, anything particular about the work or the profitability. I understand some of that is either directly or indirectly pandemic related and some of that demand will fade at some point. But other than that, is there anything you’d call out about serving that sector relative to the corporate world, which has been your primary customer base?
Keith Waddell: Well, I’d say first of all, for margins, we get normal margins on the public sector work. They’re not really higher or they’re not really lower. We get normal margins. So that’s a good thing. Clearly, the contract administration is different and a bit more bureaucratic than we get for a non-public sector work. But we benefit from Protiviti having all these GSA schedules, which they’ve had for a very long time, which were principle used for federal work for Protiviti’s government services group. We’ve been able to leverage those for – with state and local groups. So that certainly helps. But as a client, we find that particularly at the state level, because they don’t really compete with each other. They – there’s a lot of friendly relationships and a lot of friendly referrals from one state to another state. And so we found that kind of land and expand where you start with the control or upstate A, and you do a good job. They refer you to the controller for state B and so forth. And so if anything, because they’re not directly competitive as compared to kind of commercial clients, if you will, where their equivalents would compete with them, they wouldn’t refer you to them. It’s actually better from that standpoint on the public side, but it’s new ground for us. We’ve been very open about that. But we’re optimistic. Our clients generally speaking in the public sector are very happy with us, have referred already to us. As I said earlier, our pipeline grew eight-fold in 90 days, in 90 days, it grew eight-fold. And so now the onus is on us to deliver on some of that.
Gary Bisbee: And that dovetails nicely to my follow-up, which is just given how fast revenues has gone and how strong your margins have been. It would seem likely to me that you’re going to need to step up SG&A investment meaningfully to sell and serve all this business. I look at temp at all-time high, gross margins, the perm business, the operating margin is in a historical context at a level that rarely has persisted for long. Obviously Protiviti margins are off the charts. As we think over the next couple of years, if demand stays strong, do you think these profitability levels are sustainable or has your ability to invest not been as quick as the revenues come back such that you’d be more likely to put a lot more money to work and margins might be impacted as you did that.
Keith Waddell: Again, as I said earlier, I think the best view is to take an enterprise margin view. And we think we have enterprise margin upside potential. After funding, the SG&A that you described also remember, as I said earlier, with technology, we’ve learned the last 15 months that we can fill jobs internally from non-local markets, which allows our entire workforce to be more efficient, because we can balance those workloads over a much larger group of people and effectively that’s a permanent increase in the productivity level of our people and therefore a permanent reduction and SG&A certainly has a percent of revenue. So, focus on the enterprise. We believe that the operating margins, we just had this quarter, which I think we’re at 12.9%, enterprise. We don’t think those are peak. We think we have upside. We think we have gross margin upside as the mix continues to gravitate, because it’s where we’re focused up the scale curve. We think there’s gross margin upside, and again, from an enterprise point of view, we think we can leverage the SG&A base from where we are.
Gary Bisbee: Great. That’s helpful color. Glad to hear. Thanks.
Operator: Your next question is from David Silver with CL King & Associates.
David Silver: Yes. Hi, thanks very much. So, I had a couple of questions. I think the first one, Keith, I was wondering if you could maybe comment on your strategies for your own staff retention. In other words, my recollection is that sometimes the best producers in an industry such as yours maybe take the opportunity during very robust periods or when their marketing marketability is the strongest to either, I don’t know, hang up their own shingle or they’re susceptible to poaching from some of your competitors. And I asked this, I guess when I think back about a year ago, I think Keith, you purposely kind of adopted a very lean staffing strategy at the onset of the pandemic and then were comfortable running with lower staff levels. So, as we reopened here, I mean, how do you think about, the need to kind of retain your best producers to kind of hit your internal targets? Thank you.
Keith Waddell: Well, pertaining our best producers is everything. And the tenure of our best producers is second to none in the industry by leaps and bounds. And what we’ve learned in the last 15 months is they place a huge premium on flexibility, the ability to work from home. And so we’ve extended their individual choice to the end of the year. And we’ve already announced it’ll be hybrid thereafter, hybrid to be defined with as much flexibility for them as we can do. And so we’re committed to this new model for their benefit there it helps their job satisfaction. It helps their income levels. They appreciate these technology investments that we’re making. It brings more clients; it brings more candidates. It brings national candidates as well as local candidates. I mean, I can’t think of a time where our individual recruiters benefit more by being part of our organization then now given the technology investments that we’ve made. They’re making more money, because we are leaner, we have hockey stick shaped incentive plans, where they get a larger and larger share of the incremental gross margin they produce, as they grow their own book of business. So it’s a combination of all those things, but I can assure you controlling where they work, given they’ve proven how productive they can be at home is hugely important in all of the surveys we do with our employee base, which we do often.
David Silver: Okay, great. And then last one other question, more philosophically, and it would be about your permanent staffing business. So, two parts, but the first part, just to clarification, but is the quarterly revenue this quarter and the $30 million plus EBIT, or are those both all-time quarterly records for your company? And then just to kind of put that in context, when I took a labor economics in college, I mean, we were told that the decision to hire people permanently with something that happens as the economic cycle, let’s say matures as opposed to being at an early stage. And to me, second quarter of 2021 we’re far from a mature stage of the current economic reopening recovery, rebound, what have you. So, from your perspective, I mean, how would you characterize the current very healthy appetite from your customers for permanent hiring, as opposed to something a more temporary or project-based, and then can you maybe project forward to maybe thinking about where perm revenues or perm demand might reach during as this current cycle matures? Thank you.
Keith Waddell: Well, I’d say first of all, early cycle perm, always outperforms temp or contract. And in fact, the last two cycles it CAGR-ed pretty much double what temp or contracted for three and five years. And so what we’re seeing from that standpoint is somewhat akin to what we’ve seen before. I’d say there’s so much press every single day about how tight the candidate market, which frankly relates more to the transactional and staff level than across the board, but psychologically it impacts virtually every client. And to the extent the belief is labor is really tight. You want to buy it rather than to lease it for lack of a better way to say it. And there’s all the more incentive for them to hire full time. And to remember from a permanent placement standpoint, churn is your friend. And there’s a lot of churn as we speak. Some of which has pent-up attrition because of there wasn’t much in 2020, and as the sun’s come out and candidates are more confident, they’re making more changes that shows up into the national Jones numbers.
David Silver: That’s great. That’s fine. We’re right at the top of the hour. I appreciate the insight. Thank you.
Operator: Your next question is from George Tong with Goldman Sachs.
George Tong: Hi, thanks. Good afternoon. Looking across Accountemps, OfficeTeam, RH Technology, and RH Management Resources, your revenue performance in 2Q 2021 versus 2Q 2019 vary quite a bit among the segments. Can you perhaps discuss what’s driving that variation, namely the decline in Accountemps and the growth in Management Resources, OfficeTeam and Technology versus 2Q 2019?
Keith Waddell: Well, so first of all, let me say that overall on the temp or contract side, where 2% below to Q2 2019 on the permanent placement side were 2% above. So, essentially, we’ve returned to 2019 levels overall. Now, our higher skilled divisions, Robert Half Management Resources, Robert Half Technology are more project driven, they declined less. They’re also more remote work friendly, which is a reason they declined less. So because of they declined less. They’ve recovered, not quite as quickly as the more transactional divisions, Accountemps and OfficeTeam. OfficeTeam has been the largest beneficiary of the public sector work, which is why it’s out performed Accountemps at that leaves in Accountemps with its staffing and transactional level work. That’s more on premise, less remote, more impacted, but also recovering more quickly. But I think the bottom line is overall, we’re back to 2019 levels and we’re growing from there and we’re growing quickly.
George Tong: Got it. That’s helpful. And historically your gross margins have been approximately 41.5% on a full year basis, based on temp wage trends today in bill pay spreads. When do you believe you’ll return to historical gross margins?
Keith Waddell: Well, so the gross margins, if we’re talking consolidated staffing gross margins, which include tip contract and perm, we’re actually higher than that. And so we’re not below historical gross margins. So, let’s look, first of all, at temp and contract only we were at but 39.7% this quarter that’s the highest ever. Permanent placement margins are pretty much in line with what they’ve always been. The mix of perm to the total is higher than it’s ever been. So, when you put the two together, we have the highest staffing consolidated, gross margins in our history. And as I just said, we think we have upside from here, primarily as we continue up the skill curve and higher skills are our friend from a margin standpoint. So, today we have our highest gross margins ever, and we think we have upside as we continue to move up the skill mix.
George Tong: Makes sense. Thank you.
Keith Waddell: Okay. So that was our last question. We appreciate everyone joining the call. Thank you.
Operator: This concludes today’s teleconference. If you missed any part of the call, it will be archived in audio format in the investor center of Robert Half’s website at www.roberthalf.com. You can also dial the conference call replay dial-in details, and the conference ID are contained in the company’s press release issued earlier today.